Operator: Welcome to the Mativ Fourth Quarter and Full year 2024 Earnings Conference Call. On the call today from Mativ are Julie Schertell, Chief Executive Officer; Greg Weitzel, Chief Financial Officer; and Chris Kuepper, Director, Investor Relations. Today's call is being recorded and will be available for replay later this afternoon. [Operator Instructions] It is now my pleasure to turn the call over to Mr. Chris Kuepper. Sir, you may begin.
Chris Kuepper: Good morning, everyone, and thank you for joining us for Mativ's fourth quarter and full year 2024 earnings call. Before we begin, I'd like to remind you that comments included in today's conference call include forward-looking statements. Actual results may differ materially from these comments for reasons shown in detail in our Securities and Exchange Commission filings, including our annual report on Form 10-K and our quarterly reports on Form 10-Q. Some financial metrics discussed during this call are non-GAAP financial metrics. Reconciliations of these metrics to the closest GAAP measures are included in the appendix of the earnings release. Unless stated otherwise, financial and operational metric comparisons are to the prior year period and relate to continuing operations. The earnings release issued yesterday afternoon is available on our website at ir.mativ.com. With that, I'll turn the call over to Julie.
Julie Schertell: Thanks, Chris. Good morning, everyone, and thank you for joining our call. Before we get into our results, allow me to highlight the three key takeaways from today's call. First, our SAS segment turned in another excellent quarter of results, capping a very strong year in 2024, and we continue to see positive momentum across all categories in the segment. SAS' continually improving performance gives us confidence that we can expand the success more broadly across Mativ, which I will cover in my upcoming remarks. Second, as we acknowledged during our previous call, FAM experienced a difficult quarter as we continue to endure sluggish industrial macros, together with volume declines in paint protection film stemming from our production quality issue in late 2023. You'll hear more about this shortly, though rest assured we have fully addressed the quality issue and are focused on regaining the trust of our key customers in this category. Third, while we restructured the organization and removed over $20 million of overhead costs in 2024, we are continuing to further reduce costs and streamline operations. Our prior efforts have proven that we can generate meaningful results from internally focused cost actions, and we are prepared for and acting on what it will take to further improve the profitability of the enterprise. With that, let's discuss overall Mativ results. Sales were up 4% organically. We saw volume improvement in many of our product categories, partially offset by lower demand, again, primarily in advanced films. In SAS, our strong performance in Q4 demonstrated continued and increased momentum with volume increases in all categories. We had mixed results in FAM, with strength in some of our filtration categories offset by softness in our advanced films business, which we highlighted last quarter and about which I will provide an update momentarily. The strong momentum that we have seen in SAS since early 2024 continued in the fourth quarter with sales up almost 13% year-over-year on an organic basis. Adjusted EBITDA was up almost 8% compared to prior year. All SAS categories delivered volume improvement in Q4 with tapes, labels and liners driving the largest gain followed by paper and packaging and healthcare. On a full year basis, SAS produced meaningful reported adjusted EBITDA and margin improvement in all four quarters of 2024, resulting in full year adjusted EBITDA up almost 19% and margin up 210 basis points. The strong SAS order pace has continued into Q1, and the team is focused on the opportunities that lie ahead in 2025. One example of the discipline and upside within the SAS commercial team is that our 2025 sales pipeline today is more than 50% greater than what it was a year ago. We have also expanded our presence in targeted growth categories such as digital print, e-commerce and specialty tapes as well as significantly improved the volume and financial profile of our Healthcare business. I'm very pleased with the progress in this segment. Turning to FAM. Our overall results were mixed in Q4 with stable performance in filtration and challenges in advanced films, consistent with what we discussed in our previous call in November. During that call, we commented on our comprehensive turnaround plan for paint protection film, which is now well underway. Our first priority was restoring quality. Within paint protection film, low demand driven primarily by a quality issue with products manufactured in late 2023 resulted in share loss. Since mid-2024, our quality has improved significantly with recent investment in visual detection technology in our largest film site and improved process controls to ensure sustainability of our quality improvement. We are actively working closely with existing and new customers to qualify our products subject to these new quality control improvements. Second, we are focused on growing share in adjacent specialty markets such as medical and optical films. After paint protection, these are our largest film product categories, and I'm pleased to report that volume was up 30% in Q4 versus prior year with stronger order pace carrying into Q1. We are aggressively adding operator capacity at our largest film plant in the U.S. to keep up with this growing demand. Third, we have developed a mid-tier price point paint protection product that has similar margin profiles to our existing film products and that we will continue to advance with customers this year. We expect to gain traction with this initiative throughout the year. Fourth, we have replaced and upskilled site leadership as well as sales and quality leadership to drive improvements in this business. And lastly, in support of our efforts in adjacent categories, we announced new smart glass film partnerships with two companies that create innovative film and glass solutions that reduce costs and improve comfort. While early in development, these products have received strong interest from new and existing customers, and we expect these relationships to support longer term growth in optical films in 2026 and beyond. The challenge in paint protection film affects an isolated part of our business, albeit an important part, and we are working expeditiously to recover as well as diversify into strong adjacent film product categories. Notably, as we enter Q1, we are seeing sequential improved demand across all film product categories. From a raw material perspective, we are expecting moderate headwinds on input costs. To offset expected inflation, we have announced selective pricing actions in both segments. These pricing actions will be very targeted to areas where we see the biggest raw material impact and supply chain imbalance. Additionally, we are working on initiatives to further reduce complexity, streamline our organization and reduce supply chain and operating costs. Our commitment and culture of continuous improvement will not slow as we enter 2025. In the last 18 months, we have repositioned the portfolio, divested underperforming and nonstrategic assets, reduced our debt by over 35%, streamlined our plant footprint by over 25% and restructured our organization, reducing non-operating costs by over $20 million in 2024 with plans for an additional $20 million of overhead reduction by the end of 2026. As part of this effort to further unlock cross customer and business opportunities, we have promoted Ryan Elwart, our current leader of SAS, to lead the commercial activities across all of Mativ with responsibility for SAS and FAM. Ryan joined us in early 2024 in his and his team's strong leadership, commercial discipline and customer focus has been instrumental in driving our SAS segment to deliver strong results, including three consecutive quarters of sales growth and four consecutive quarters of reported adjusted EBITDA and margin growth. I am confident we will further leverage these capabilities across Mattis and with our most strategic customers. Before I turn it over to Greg, I want to end with a few words about our strategy and execution approach in 2025. We have a clear portfolio strategy with identified growth platforms and investments for the future aligned with our strongest markets and customers. This includes investments in capacity and capabilities in filtration, release liners, specialty tapes and health care. From an execution approach, as we enter 2025, we are laser focused on profit growth, cash flow generation and reducing our debt and leverage. While I firmly believe the initiatives and successes the team has achieved in this past year are the right actions and they set us up for the future, we have been in a low industrial demand environment longer than expected. As such, in 2025, you will see us reduce overall capital spending while still investing for growth, be even more aggressive on our footprint efforts, continue to streamline the organization by reducing complexity in how we go to market and further reduce supply chain and manufacturing costs. These actions are targeted at reducing costs while simultaneously supporting and improving customer relationships. And based upon our growing momentum and success in SAS as well as our keen awareness and action plans in FAM, we are optimistic about what we can accomplish as we leverage our teams and commercial excellence best practices across Mativ. With that, I'll turn it over to Greg for a more detailed discussion of our financial performance.
Greg Weitzel: Thanks Julie and good morning, everyone. Consolidated net sales from continuing operations for the quarter were $459 million compared to $452 million in the prior year. Sales were up 4.3% year over year on an organic basis and 1.4% as reported while selling prices were essentially flat versus the prior year. Adjusted EBITDA from continuing operations was $44.8 million down 10% from $50 million in the prior year. Higher input costs and higher manufacturing costs driven by fixed absorption represented a combined $9 million unfavorable impact which was partially offset by $2 million of higher volume mix and a combined $2 million of lower SG&A and distribution costs. In SAS, net sales of $291 million were up almost 13% on an organic basis and up more than $20 million or almost 8% from last year as reported. Organic growth reflected higher volumes across all our end markets and higher selling prices. SAS generated strong adjusted EBITDA performance of $36 million which was up almost 8% year-over-year. Adjusted EBITDA margin increased slightly versus the prior year. The year-over-year performance reflected higher volumes across all our categories and favorable distribution costs partially offset by unfavorable net selling price versus input cost and higher manufacturing costs. Net sales in FAM of $168 million were down more than 7% versus Q4 of 2023. As Julie mentioned earlier, we reported stable volumes in our filtration categories that were more than offset by lower volumes in our advanced films and netting categories along with lower selling prices. FAM adjusted EBITDA of $26 million was down more than $10 million year-over-year reflecting the effects of lower volumes in our high margin advanced films and netting categories, unfavorable net selling price versus input cost and higher manufacturing costs. We partially offset these pressures with growth in water and air filtration and optical and medical films as well as with lower distribution costs. Turning to a few of the corporate items, unallocated corporate adjusted EBITDA expense of $17 million was down 14% versus the prior year primarily driven by lower SG&A expenses as our previous overhead reduction efforts continue to deliver. Interest expense of $20 million increased $6 million from the prior year primarily due to the allocation of a portion of our interest expense to discontinued operations in 2023. When taking hedges into account over 80% of our debt is at a fixed rate and matures on a staggered basis between 2027 and 2029. Other income of $9 million increased $10 million compared with the prior year period largely due to gains on asset sales related to facility rationalizations as well as gains on foreign exchange. Tax was 110% benefit in the quarter driven by a one-time tax adjustment which if excluded would yield an effective tax rate of 31%. At the end of the quarter net debt was $995 million and available liquidity was $451 million. Our net leverage ratio as defined in our credit agreement was 4.4x. Our number one priority for cash flow utilization is and continues to be deleveraging and debt reduction. We reduced the size of our cash balance by more than $60 million since the end of Q3 in large part through a company-wide repatriation effort that reassessed the available cash requirements and consolidated excess balances. The proceeds from this effort contributed to us paying down more than $50 million of our outstanding debt. As a reminder, our target leverage range is 2.5x to 3.5x. Turning to Q1 of 2025, market demand remains challenged and this will impact our Q1 results. I'd also like to remind you that due to our normal seasonality patterns in Q4, our inventory cost that we will be selling through in Q1 is expected to be the highest of this year and higher than prior year. Additionally, Q1 will likely have higher input costs to be offset with announced pricing that will impact the remainder of the year. As for the full year 2025, we're focused on driving profit, cash generation and further margin improvement including continued aggressive cost reductions and operational excellence improvements. For modeling purposes for the full year we expect adjusted unallocated expenses of around $80 million depreciation, amortization and stock-based comp to be around $100 million interest expense to be around $70 million plus another $8 million in fees for our AR securitization capital expenditures of around $50 million one-time costs to be around $15 million to $20 million a slight increase in net working capital of around $10 million, FX to be a $15 million topline headwind through the year and for our normalized tax rate we suggest using 24%. From a raw material perspective, we are expecting a $10 million to $15 million headwind on input costs mainly driven by slight increases in the price of pulp, papers, resins and polymers. Timing wise, we expect these expense increases to be phased in over the course of the first half of 2025 and then to hold steady across the back half of the year. We expect to fully offset the raw material inflation through pricing actions over the course of the year. With that Julie, I'll hand it back over to you for your closing remarks.
Julie Schertell: Thanks, Greg. What you should take away from this call is that we are executing against initiatives to deliver a more agile operating model, grow share in our current markets, while also expanding our addressable markets and capture incremental value with new products and partnerships. These actions include announced price increases, cost reduction programs expected to yield 20% more savings than prior year, a 50% increase in total company sales pipeline, new leadership across our business and specifically within advanced films, reduced capital spending plans, aggressive footprint optimization, strong progress in our advanced films turnaround effort and continued steps forward in our overhead reduction efforts. I look forward to showing what this team can accomplish in 2025. Thank you for joining us this morning, and please open the line for questions.
Operator: Thank you, Julie. [Operator Instructions]. The first question we have on the phone line comes from the line of Jonathan Tanwanteng with CJS Securities. Please go ahead.
Jonathan Tanwanteng: Yes. Hi, good morning. It's Pete Lucas for Jon. You touched on it at the end in your prepared remarks. Maybe just a little bit more color. It sounds like once again Q1 going to be impacted by higher inventory and input costs. But it sounds like the input costs over time will start to subside with pricing. Kind of maybe give us a little more color on that?
Greg Weitzel: Sure. Thanks, Pete. Yes, overall as we mentioned we're at this point we're seeing $10 million to $15 million of potential increased input costs really spread across a few different areas. We have plans in place with some announced pricing actions to cover that where over the course of the year we'll be net positive again. That said, yes, the first quarter we expect that to be a moderate net negative for the quarter. Talked earlier about the higher inventory cost as well that we would be selling through in Q1.
Jonathan Tanwanteng: Great. Thanks. And I guess you covered a lot. Only one left. I'll just get in the tariff question and just ask any specific strategy. I know it's hard to have a strategy for the unknown, but for potential Canada and Mexico tariffs and have you seen anything from your competitors there?
Julie Schertell: Sure. Yeah, I would say on tariffs from a competitive standpoint, we haven't really seen anything yet because of just what you said, the uncertainty in the marketplace and we have plans in place to mitigate the tariffs depending on where they land. The ones that have been implemented so far, very minimal impact for us. If others get implemented in Canada and Mexico, we have the opportunity to shift our supply chain around quite a bit, as well as look at other options from a pricing standpoint to mitigate those costs.
Jonathan Tanwanteng: Very helpful. Thanks. I'll jump back in the queue.
Julie Schertell: Thanks, Pete.
Operator: Thank you. And your next question comes from Daniel Harriman with Sidoti & Company. Please go ahead when you're ready.
Daniel Harriman: Hey, good morning, everyone. Thank you so much for taking my questions. That's really exciting news about Ryan. So Julie, I'm just kind of wondering, what can FAM gain from the successes you've seen within the SAS segment? And then along kind of the same lines, with the FAM segment going through the tiger team right now, which you've installed there. You saw great success within the healthcare turnaround in 2023, strong organic growth. Is the healthcare turnaround sustainable long term? And do you expect similar success with the FAM segment and advanced films in particular moving forward?
Julie Schertell: Sure. Thanks, Dan. Let me start with your first question, which was what will we leverage in SAS -- I'm sorry, in FAM that we might be leveraging in SAS today. I think there's four key areas that we would focus on. The first is demand generation. That means the pipeline discipline and the tools that we use effectively in SAS. We target about 50% of our revenue to be in our pipeline, and we'll continue to refine that in our FAM segment. The second one is strategic customer management. Have a very mature and effective joint business planning model that customers value, and that has opened up several new doors within our SAS segment, and we expect to do the same in FAM. The third one is cross business and cross selling opportunities, and that's with customers as the priority. But this will even more so open the door to how we look within customers deep and broadly and across the entire portfolio of Mativ to support them in a more holistic manner. And then the fourth one is really leveraging our talent across segments toward the greatest opportunities. And that could mean R&D expertise, marketing expertise, selling capabilities that we'll leverage more broadly within Mativ. So I'm excited about that. I think we'll see continued improvement and progress in FAM. It really is primarily impacted by one specific market right now. And there's a lot of momentum in some of the other markets within FAM, particularly in filtration and air and water, HVAC, industrial process and life sciences. If I turn to your second question, which was about the tiger team and the fact that we had referenced previously that we had done a similar exercise on healthcare and is that sustainable? And let me just give you a quick update on healthcare. That team was really focused on our Scapa healthcare business, so about 70% of what makes up that category, that reported category. And I would tell you in the last eighteen months, the team has completely turned around performance from a stagnant top line to be above 10-growth in 2024 in healthcare and margins that are accretive to the SAS segment. So I'm really pleased with our results in the Healthcare turnaround. That was primarily focused on the commercial side of our business, including new customer programming, revised customer agreements, penetrating new customers and going more deeply and broadly within those customers. And I would tell you also healthcare continues to be an area where we've been able to leverage the Mattis portfolio to provide cross buying opportunities for our customers, and most notably, that's release liners. Most health care customers also purchase release liners, and we're able to provide a more holistic buying option for them and an efficient supply chain. So at this point, with the turnaround and with the growth and with the opportunities and the investments in healthcare, we view it as a key growth platform, and we're investing in partnerships with our largest customers as we move forward. I'm really, really pleased with it. I expect similar results in our tiger team focused on film. It's a little bit more internally focused because the first and biggest issue was the quality disruption that we had in our largest sites in late 2023. So that has been resolved. And we've invested in technology, virtual detection technology. We've changed out and upgraded our site leadership, our quality leadership and our selling leadership within that part of the organization. I think there's a lot of good progress there, but we have to go through the qualifications customers because we did stumble on quality. So I would expect that to ramp in more positively in the back half of this year than the first half of this year.
Daniel Harriman: Perfect. And then if I can, I'm going to sneak in one more quick one. On last quarter's call and then in recent calls in general, you've highlighted some of the investments that you've made into new filtration line, release liner line, automotive tapes, athletic tapes. And I understand that the CapEx is going to be down in 2025. But could you just update us on the progress of those previous investments and how you see those playing out moving forward?
Julie Schertell: Sure. Most of them are still kind of in the infancy stage. The meltblown line in our German facility is up and operating and that supports saturated transportation filtration. And so we'll continue to optimize the system there. The coder in Mexico supports release liner growth, which is growing really well America and with great opportunities in South America. The tape lines that you mentioned in Italy and in Canada are really just in the early phases. So those haven't been installed and started up yet. And then we recently invested in healthcare automation in our Knoxville facility to support our largest customer and capacity and capability additions there as well. So even though we are reducing our CapEx spending, I feel very confident we have the right spending in place from a growth standpoint. We'll cut back some on our cost reduction capital and on our maintenance capital that we can defer into some future years.
Daniel Harriman: Okay. Thanks so much, Julie. I really appreciate it. Best of luck in the coming quarter, guys.
Julie Schertell: Thanks, Dan.
Operator: Thank you. I can confirm we currently have no further questions registered. So I would like to hand it back to Julie Schertell, Chief Executive Officer for some final closing comments.
Julie Schertell: Thank you. I want to thank everyone for joining us on the call this morning. We look forward to talking to many of you later this afternoon and tomorrow, and look forward to talking to you at our next call.
Operator: [Operator Closing Remarks].